Operator: [Call Starts Abruptly] [Operator Instructions]. If we run out of time and we do not have time for your question, we ask that you please call our office on (08) 6263-4494 or email Boss at bossenergy.com and speak to our team. I would now like to hand the conference over to Mr. Duncan Craib, Managing Director. Please go ahead.
Duncan Craib: Thanks, Ashley. Good morning, everyone. Thank you for taking the time to dial into our second quarterly call. During the previous January quarterly presentation, we recognized a milestone event for the company, when we declared commercial production and we published our first cost guidance. This quarter we are proud to declare that, we've started generating free cash flow from Honeymoon, which is the culmination of a highly successful ramp up, where we saw drummed production of uranium doubling from the previous quarter to just shy of 300,000 pounds and associated C1 costs outperforming our guidance at $21 per pound. So to be generating robust margins at current prices and delivering free cash flow within one year of starting production is a respectable outcome for any mining operation, particularly uranium where the pool of talent and expertise is more limited than other sectors. Our team has worked tirelessly to ensure that, we meet our undertakings to the market and results such as today is testament to the skills and commitment of our people. As I stated in our announcement we're achieving exactly what we said we will do. Joining me on today's call is our CFO Justin Laird; and our COO, Matt Dusci. So I'll now walk you through key achievements of the March as well as providing an update on our investment in the Alta Mesa Mining operation in Texas and our disciplined deployment of capital representing about 3% of our market cap into strategic uranium opportunities to generate future growth. At the end of the call Justin, Matt and I are readily available to take your questions. So if we turn to the presentation to Slide 2. As mentioned it was a really positive quarter pivotal in fact where we delivered outstanding operational and financial results. In summary, Honeymoon continued to deliver on our ramp up plan. For the quarter we produced 296,000 pounds of uranium, which represented a 116% increase from the prior quarter. The NIMCIX columns were brought into production for Column 3 as well as Wellfield 3. C1 costs were at A$33 a pound or $21 which is below our guidance and globally a C1 cost of $21 per pound is an enviable position to be in. We as mentioned generated our first free cash flow quarter for Honeymoon and that's in the history of Honeymoon's production given the robust margins. We also finished the quarter with $229 million pounds in liquid assets being cash, physical uranium and, investments. And that we also sold 268,000 pounds in uranium at a realized price of $84 a pound. So the best news of all is that we've now remain on track to deliver our 850,000 pounds production guidance and cost guidance for the full year '25. And this was coupled with the continued growth of the company with construction of four Columns 4 to 6 underway and we also during the quarter acquired a strategic investment of 19.7% in Laramide Resources. So really pleasing quarter, a great quarter and would like to go into those highlights in more detail. So turning to Slide 4 of the presentation. Really the March was characterized by those strong production results with 296,000 pounds of drummed uranium, 249,000 pounds of uranium production, representing 116% increase and 15% increase from the prior quarter. The graph on this slide shows the quarter-on-quarter growth of production as we continue to ramp up at Honeymoon. During the back end of the quarter Columns three and Wellfield 3 were bought into production as planned. We did however encounter some commissioning challenges which we raised in previous announcements, with the second kiln and bag-house resulting in some unplanned downtime. But despite these challenges, they're above surface in an operating plant and we achieved a monthly record production rate in February of 123,000 pounds of uranium, and that if you annualize it represents a run rate of 1.5 million pounds So, bearing in mind our full year '26 production guidance next year is 1.6 million pounds. So, we're well on track to meet next year's guidance as well. The focus for the coming quarter is to now increase flow rates and resolve any associated bottlenecks, improving run time of the kilns and involving the precipitation circuit from a batch to continuous operation as intended. Construction activities on Columns 4 to 6 increased during the quarter. The focus currently is on the steelworks for the foundations along with pipe spooling and assembly. Construction activities would largely be complete by the end of the June financial year, so in the coming months, with commissioning and production at columns 4 and 5 in the first quarter of the next financial year. Looking at the cost update on Slide 5, coupled with the strong production performance we also had a good control on costs. C1 costs as mentioned were an enviable $21 a pound or A$33 a pound which is below that second half '25 guidance. That implies a C1 margin of 68% to 71% based on the current term uranium price. Such results as these demonstrate the quality of the Honeymoon asset and the technical advancements we have made to the processing plant and optimizing Wellfield operations since taking control of the asset. We are forecasting an increase in C1 costs next quarter to finish the second half at the lower end of our C1 cost guidance. Wellfield capital for the quarter totaled A$8 million as we progressed the wellfield development. This included $3.5 million for the first fill cost of wellfields 1, 2 and 3 and $4.9 million for Wellfields development of 4 to 9. The construction capital, excuse me, for columns 4 to 6 totaled A$4 million for the quarter. That expenditure will significantly increase during the coming quarter, which is aligned with construction activities and an increase in man hours with construction. Having given all that and sort of explained that background, we've really do remain confident that we'll achieve both our full year '25 production cost guidance for Honeymoon. When we look at our investment in Alta Mesa on the following slide, production for the quarter on a 100% basis totaled 98,000 pounds. So the next slide please. This includes 50,000 pounds of uranium captured between March 6th to March 31st. A total of 29,126 pounds was delivered to Boss' account in the quarter to sell us our own inventory as per the JV agreement. So by that, it's unencumbered we can sell into our own sales mix. As reported during the quarter, the ramp up to achieve 1.5 million pounds uranium per year was impacted by Wellfields development. In turn, Encore as the manager of the project has taken a number of steps to accelerate Wellfield development and improve Wellfield planning during the quarter. The second IH circuit at Alta Mesa also commenced operations during the back end of the quarter and that effectively is doubling that project's total flow capacity. The combination of the second IH circuit and Wellfields expansion effectively utilized 75% of the current processing capacity. On the following slide, Slide eight, Boss continues to add to its growth pipeline so we're really pursuing organic and inorganic opportunities, whilst remaining disciplined on capital allocation. Several of those opportunities that Boss progressed during the quarter on the slide before you are our satellite deposits on the Honeymoon Tenements being Jason's and Gould's Dam having completed the infill drilling on those deposits in previous quarters, we formally engaged consultants, AMC consultants in Perth, Australia to update the JORC mineral resource which we expect to be done towards the end of Q3, Q4 this year. We also entered into an earning agreement with Eclipse Group whereby our minimal commitment is $250,000 in the first year with gated options to go forward, at Boss's election to increase its ownership if technical due diligence proves positive. So, it's a very strictly disciplined approach to proving up that potential asset. Heading that, is Penny Sinclair and Andy Wilde, our Chief Geologists, but notably Penny was Cameco's lead geologist in Australia during the previous cycle and Cameco owned these tenements for two years from 2006 to 2008. So, we're already head deep in reviewing all those old files. We also increased our stake in Laramide Resources to 19.7%. So this is a really exciting project. We believe it's been, there's a lot of opportunity here, a lot of potential to develop Laramide further and their flagship asset of particular attention to us is the Westmoreland uranium project in Queensland, which has a total JORC resource of 65 million pounds that contains uranium. We believe our investment so far into Laramide representing only 3% of our market cap provides Boss with asymmetric upside should the moratorium in Queensland be lifted. Onto the market and it's been some interesting developments particularly overnight. We found that Bloomberg is now reporting that, China has now committed to a further 10 nuclear power plants, which is wonderful news and really shows that the depth of the industry continues to grow. That commitment by China is significant up to $27 billion and it represents the third year in succession of committing to that growth. So worldwide, we are seeing from a medium to long-term perspective that fundamental supply and demand forecast looking very positive as it has been for decades. And that's really reflected in the term price, which in the March quarter actually reached an all time high in Australian dollars of A$127 per pound. So, if you think that Boss Energy's operating expenditure is 95% linked to Australian dollars, then we're in a very good place earning The U.S. revenue. We see this underlying strength on a day-to-day basis with utilities continuing to invite Boss to tender for the supply of uranium from 2026 onwards. From a short-term perspective, we continue to also see geopolitical uncertainty regarding Russia's sanctions and the potential for U.S. tariffs as having an adverse impact on spot uranium price, which is a measure of the current sentiment and in fact worldwide affecting all markets. But positively, following the recent declines in spot price, we've started to see an increase in buyer interest in the short to mid-term and that can be seen in the spot price which has recently stabilized at a mid $65 to $60 per pound to today's spot price of $67.5 a pound. So it's risen $2.5 in the past week. Notably, in the past two weeks as well, we've received two substantial RFPs from globally significant fuel buyers. So what I would explain is the market is it's beginning to thaw. Fuel buyers are now getting to come back to the market. They've been able to rely on their own inventories, but they do need to keep acquiring new inventories. So the large strategic, utilities with strong cash balances and strong buying power and savvy teams are now entering the market seeing the prices are reasonable to contract out. When we look at our financial position on the following slide, Boss remains in a very strong position. So, the following slide, with a robust balance sheet that is supported by $229 million in cash and liquid assets on hand as at thirty one March 31st, 2025. This represents a decrease of $22 million from the prior quarter, but please do keep in mind, this was primarily driven by mark-to-market movements in inventory and listed investments. Revalued today, one would see that balance increase. During the quarter, Boss also received cash for 268,000 pounds at an average realized price of $83.5 per pound. That price was higher than the prevailing spot price, which was also supported by 118,000 gross pounds reflecting a repayment of a loan to Encore at $100 a pound, the prevailing price at which the loan agreement was entered into just over a year ago. Positively, as mentioned, this quarter represents the first quarter that Honeymoon in its history has recorded positive free cash flow. Given that Honeymoon is still only in its first year of ramp up, we believe this reinforces the decision to bring the mine online, when we did. The following slides really just to summarize how Honeymoon is placed and really becoming free cash flow positive in the first year ramp up, we're really chuffed about and it's a full credit to the team, particularly on-site for achieving these healthy C1 margins. Production and cost remain on track to meet production guidance. We continue to invest in Honeymoon's development of oilfields. Columns 4 to 6 are underway and you can see pictorially in the announcement today of the steel structure that have provided the foundations. And again, it's the same installation teams that built the first three, so we're getting quicker at rolling these out. Column 4 is scheduled to be in production in the first quarter of the next financial year. We are also developing a strong asset portfolio, but remaining very disciplined on capital allocation, and I can't emphasize that enough. Our focus to date and it still continues to be Honeymoon and now we're supporting Alta Mesa with their ramp up. The company has a strong balance sheet of $229 million in cash and liquid assets. So with that, I would like to take this opportunity to really again acknowledge the Boss team, particularly on-site. Throughout the organization, there has been a considerable work and effort in getting the company to this point. It's a great result to see today's announcement come through, highlighting the continued success of the ramp up at Honeymoon. The team's current focus is now hitting guidance for the year at 850,000 pounds in this coming quarter of produced uranium and we're doing our best to achieve that. So with that, it concludes the presentation and we can now turn to Q&A. Thanks, Ashley.
Operator: [Operator Instructions] Your first question comes from Franco [indiscernible] with EMP. Please go ahead.
Unidentified Analyst: Good morning, guys. Thanks for your time. Just on the unit costs, it looks very encouraging. So just keen to understand first, why they're expected to rise next quarter and perhaps more importantly whether the A$33 per pound number is a good reference point for us over the coming 6 to 12 months? Thank you.
Duncan Craib: Yes. Thanks Franco. Primarily, as you say it's a great result, in terms of that C1 cost and it is slightly below guidance for the first quarter of the half. The expectation that costs are going to increase is more to do with the quarter that we've just had, that we've had some one-off cost savings during the quarter which we don't expect to be repeated in the following quarter, and so that would get us to the bottom end of guidance for the full half.
Unidentified Analyst: And in terms of how you're thinking about A$33 per pound moving forward is that a good reference point something into FY '26?
Duncan Craib: Yes. We expect that guidance range of A$37 to A$41 to be a good range for FY '26 at this stage, but we'll be coming out with, full year cost guidance as part of our June quarterly.
Unidentified Analyst: That makes sense. Just a final question just on the inventory build that we saw this quarter. Just how you guys are thinking about uranium sales versus further inventory builds over the coming quarters segment spot prices?
Justin Laird: Yes. Thanks, Frank. I think it's really important to keep a healthy inventory level for a producer, certainly to cover working capital outflow. But really three months on average is a good sort of balance to keep. So if you think annual production ramped up is about 2.45 million pounds well take three months of that or a quarter or a third of that. You're probably looking at say a minimum of 800,000 pounds in any given time. So that's what we'd like to keep and you keep that on hand if in case there are any logistical problems with shipping. What you don't want to do is find yourself in a position where suddenly, under contract you're contractually obliged to deliver pounds but you're unable to because you don't have the pounds in the right conversion facility or you can't book transfer to the right conversion facility. And in that case, and we're seeing this with some others, companies that they're then forced to go into the market and either borrow uranium or buy uranium off the market. So we don't want to find ourselves in that position. So it makes sense to have commercial sense to have some of your own inventory on hand at all times and for the differential between that 800,000 pounds and where we are now with 1.1 million pounds we fundamentally believe the uranium price is going higher. So, for us, it makes financial sense to hold on to those pounds and wait for an increase in the spot price.
Operator: Your next question comes from Alastair Rankine with RBC Capital Markets. Please go ahead.
Alastair Rankine: I might just dial in on the first field cost that you mentioned. You said that for Wellfields 1 to 3, they were roughly $3.5 million which implies about $1.2 million per field. And then you've got an estimate for Wellfields 4 to 9 is a bit lower at around $0.8 million per field. So can you just touch on what's driving that lower cost per field going forward?
Duncan Craib: Yes. In terms of the Wellfield costs, part of the Wellfield cost, for 1 to 3 was included in the project capital, so potentially there are some additional costs for those Wellfields. For future Wellfields, we are currently seeing some potential opportunities for savings, some of the specific initiatives that we're doing probably one of the biggest is looking to, construct the well houses off-site, and so essentially a well house is a containerized unit and we kind of working through the engineering design, but believe that we can get those constructed off-site, which means that, we don't have to, pay that higher rate for contractors and flights and accommodation costs for those contracts. That's one of the key opportunities that we believe, for reduced Wellfield cost, the future Wellfields, and then also just to note that, around a third of the Wellfield CapEx can be reused. So given that those Wellfields are a kind of containerized module, we can just pick those up and move them to future Wellfields once we've kind of got that, once we've got those constructed.
Matt Dusci: Alastair, it's Matt here too. The other the other driver there too is also utilizing that first field too, so how we can how we can utilize first field that we put into those Wellfields including ferric and recycle that back into additional Wellfields.
Alastair Rankine: Okay, understood. That's really clear. And then I just might ask around uranium price exposure coming into the second half of this year. You realized a pretty solid price at around $84 with that thing with some benefit from that Encore loan pricing as well. But can you just give some color around your price exposure in the second half of this year and your strategy around it at the moment?
Duncan Craib: We've got the second half of the Encore loan also being repaid by the June this year. So that'll be the complete repayment of that loan. But in terms of pricing we are, contractually, we have entered into contracts we did so about a year ago with market related contracts with healthy floors so you know. I suspect that you'll see realized price above the current spot price certainly going into this quarter. But, it's one that we we've been quite savvy with how we are contracting. Having entered into I think we're about 18% contracted by the life of mine. Predominantly, that's in these initial, next three to four years. But we're also able to take it into, advantage of sort of more so near-term, short-term type contracting ability with utilities. So, it's not just simply fixed price contracts or market related contracts. You can also take advantage of the near-term. So we're being very savvy. We've got a very strong, marketing team as I think you're aware, with Sashi Davies. We work closely with Scott Lawrence as well behind the Merco, and some others that we've got around the world. So, we feel that we're walking in tandem with the market. We feel that we're more nimble and flexible than some of the other larger producers that have to find pounds homes for their pounds and we can afford that sort of flexibility.
Operator: Your next question comes from Regan Burrows with Bell Potter. Please go ahead.
Regan Burrows: Thank you for taking my questions. Congratulations, Duncan and team. First question just on capacity of the Wellfields, and also capacity for column number three. I guess, what is the capacity currently that you're running it at? And how sort of hard can you push that flow rate over the fourth quarter?
Matt Dusci: Hi, Reagan. It's Matt here. So in terms of capacity, what we're trying to do this quarter is push flow. You mean, we've had head grade come through stronger on the previous quarters. Now with Column 3 and Wellfield build 3, it's all about pushing flow through this quarter. Part of that is so that we can continue to look at any sort of commissioning challenges shifting to a focus on that flow.
Regan Burrows: Okay. So it's sort of reasonable to expect that the flow rates on, say, a a normalized full run rate are going to be higher over fourth quarter, than sort of, I guess, comparatively to the second quarter, if you assume that the column number three was running at capacity or thereabouts?
Duncan Craib: Correct. So we brought the column. We didn't have to bring in well Wellfield 3 and Column 3 straight away in that last quarter. We brought that in towards the end of this quarter with the idea that this full quart this quarter coming will push through the three columns, three Wellfields on flow with head grade coming down a little bit.
Regan Burrows: Okay, great. And potentially just on sales and shipment guidance, obviously, you touched on it slightly before Duncan. But just in terms of your FY 2026 guidance, I mean, how much of that is covered by your contractual commitments and how does that sort of match up with shipments? Are they going to be sort of lumpy and is that going to translate to I guess lumpy cash flows coming through or how should we sort of think about that?
Duncan Craib: I don't think it won't be so lumpy as such. I mean, our objective, we can hold quite a bit of material on-site but really, there is a maximum capacity of uranium that we can hold and then we need to ship it to a conversion facility. So our objective really is to ship as much material as we can at the moment into The US, into Confidant particularly, Cameco as well and then looking across to Europe at Arano's facilities. So, cash flow you'll see steadily flow. We're not concerned at all about the ability to sell uranium. We've managed our cash flow very well over the forthcoming years and our forecast. So, you won't see it being lumpy but we'll take advantage of the market when it comes. If you see uranium prices suddenly shoot up, we'll probably be in there taking advantage of it. It's tactful. We've got a percentage that we've contracted. We're still talking to utilities. We're still engaging with fuel buyers. As mentioned, we received two very large requests for tenders or requests for proposals, I should say, in the last few weeks. So it's one of staying actively engaged with the market, whether that be on those contractual basis or near-term type, medium-term, forward selling type arrangements to utilities, but we're not doing is selling into the spot market.
Operator: [Operator Instructions] Your next question comes from Matt [indiscernible] with Ordinance. Please go ahead.
Unidentified Analyst: Hi, thanks very much. Look, I just wanted to check just a bit more on these Wellfields. With the tenor of the liquor, I think you mentioned it was going to come down next quarter. I just wanted to sort of get a progress on at what rate does it move from 108 PPM down to the sort of 47? I think it was 47 that you expected lots of mine. What kind of, rate is it going to decline at?
Matt Dusci: Hi, Matt. It's Matt here again. Yes, you won't get to that life of mine until we have the four or five columns in. So, I mean, you're probably looking at a 10% or 20%, decrease compared to last quarter.
Unidentified Analyst: Right, thanks. And then...
Matt Dusci: It will take us -- there's only once column five and six come in that will start to normalize around about their life of mine take rate.
Unidentified Analyst: All right. How does the grade of Wellfield 3 look compared to the previous two that you had currently operating?
Duncan Craib: Very promising. It's a big Wellfield. It's up to I think it's 1.2 million to 1.4 million million pounds and no the current grades are very healthy. So, it bodes well. I mean, when you look at honeymoon how we've started with those initial two Wellfields really, they're in a good part of the ore body but those Wellfields as you've seen on-site they were established by the previous owners Uranium One, so it made sense to utilize that existing infrastructure during start-up. All we simply did was modernize the wells and pumps and flush those Wellfields prior to leaching. So now we're stepping out and bringing in these additional Wellfields. So Wellfield 3 is new, Wellfield 4 And 5 are getting prepped, but they're sort of nearly complete to bring on when we're ready. So we always try and stay at least sort of six months ahead or 12 months ahead of when these wellfields are required to bring on. But, from a construction perspective on wellfields, we're well-advanced for the current, for the forthcoming year actually. So now it's one of just blending the product and bringing in those additional fields.
Unidentified Analyst: Just finally on the uranium price, you mentioned that, there's a bunch of very sort of short-term contracts that you could leap into, that you wouldn't be selling on spot. These short-term contracts for near-term delivery, do you essentially have the same price as spot anyway or how does that work?
Duncan Craib: You normally get a premium. For example, we sold one for spot price was $64.5. We were able to sell it at $69.5. So you normally get a forward premium.
Operator: Your next question comes from Alastair Rankine with RBC Capital Markets. Please go ahead.
Alastair Rankine: Thanks for taking that follow-up. Actually just a question about the head grade at Alta Mesa. I don't think there was anything in the pack about it. And I think the last quarter was around 65 MG per liter. Any update on that or on the maybe on the recovery curves as well for the new Wellfields there at Alta Mesa?
Duncan Craib: We don't, sorry. I mean, they got on average, they were averaging around 65 PPM. They got up to, I think it was 120. So they were doing well. What we are doing, however, is with Alta Mesa, that what held them back was the lack of Wellfield development. They weren't staying in front of what their production requirements were. They've really been focused on bringing new Wellfields into production and sort of ramping up in that field. The operating plant itself is working very well as mentioned, they've brought their second ion exchange circuit into products and services. So the focus for them is now well filled and they've sort of parachuted in [indiscernible] called Dr. Dennis Dover who was on their board of directors and he's like the leading ISR guru in The US and has been for decades. But our own colleagues, Matt Dusci and, Head Geologist Andy Wilde and a few others are heading across their early mate. So we can actually get a good view of how they're progressing. So, yes, I think the next call we have will, perhaps we can report back in a few weeks' time.
Unidentified Analyst: Okay. Sounds good. Look forward to it. And then just on Wellfield B2 at Honeymoon, I think in that analyst pack you had, it was recovering a touch faster than expected. Have you got any update on how that's been progressing, since then?
Duncan Craib: Alastair, you're right. So B1, First Wellfield was on the line and that's with that 70% recovery of that 74 volume exchange and then B2 was we're getting higher recoveries out of B2, than we were expected and that's why we delayed bringing B3 in, that B2 continues to outperform. It's too early to tell what B3 is doing at this point in time.
Unidentified Analyst: Okay. No stress at all. Thanks very much.
Operator: Your next question comes from Dim Ariyasinghe with UBS. Please go ahead.
Dim Ariyasinghe: Thanks guys and congrats on the result. Maybe if you can just help me with the medium-term glide path again. So I guess the road to full capacity and then expanding Honeymoon further, how do you think about that versus future acquisitions, learning Laramide, like, is there anything else that you're thinking about right now maybe in The U.S., or how you guys kind of weigh that dual mandate up? How do you think about that internally?
Duncan Craib: Yes. Sure, Dim. So the focus is very much on Honeymoon as it's been these past few years and really getting that mine ramped up. So the actual guidance to achieve 850,000 is in sight and that's to achieve by end June this year calendar year. The following year it's to ramp up to 1.6 million pounds and we're feeling confident that we can get there given how well we produced in February for example and getting that annualized run rate. And then it's on to 2.4 million, 2.45 million pounds. So it really is a step-by-step process, which is very much typical to recovery projects ramp up bringing new Wellfields online. So in terms of our sort of growth within Honeymoon's production, it's we've got a per our feasibility study, just a map of how we're going to bring those additional Wellfields on starting in Far East Karakuru and then drifting back towards or grafting back towards the Honeymoon processing site. And then, you look at organic growth in terms of our satellite deposits so Jason's and Gould's Dam, which combined has a JORC resource inferred and indicated of 36 million pounds So we needed to get greater confidence with those before doing an economic assessment. And to that level, we've done the infill drill program, handed those that data really over to, AMC consultants to do an independent review and block modeling. So that's with them and we hope to get that data back by the end of this current quarter or early next. But the view there is really to incorporate them into the production profile for Honeymoon. So, there are a number of steps with that. It's completing the resource estimate. It's development of the project description, commencement of permitting and studies. So to finalize once we've done those studies and it makes economic sense, one then needs to go through the regulatory format. So, it's likely to take sort of two to three years before we can bring those satellite deposits into complementing our existing production profile. And then the inorganic opportunities as mentioned but I mean the key is I've tried to emphasize earlier is just that strict disciplined approach. I mean, we've only committed 3% of our market cap and basically got our foot on a really exciting series of projects actually within Laramide Resources. And we're also very much focused on assisting our sort of partners with Encore Energy and their Alta Mesa project, which we still believe is one of the best projects in The U.S. in terms of production.
Operator: There are no further questions at this time. I'll now hand back to Mr. Craib for closing remarks.
Duncan Craib: Well thank you very much. Thanks for your time this morning. Our next challenge as mentioned is to really achieve that production guidance of 850,000 pounds by the June this year and we very much look forward to providing you with a further update in the coming months. With that, thank you very much.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.